Operator: Ladies and gentlemen, thank you for standing by and welcome to Dycom Industries’ Results conference call. At this time all participants are in a listen-only mode. Later we will conduct a question and answer session and instructions will be given at that time. If you should require assistance during the call, please press star followed by the zero. As a reminder, today’s conference is being recorded. I would now like to turn the conference over to your host, Mr. Steven Nielsen. Please go ahead, sir.
Steven Nielsen: Thank you, Brad. Good morning, everyone. I'd like to thank you for attending this conference call to review our third quarter fiscal 2014 results. During the call, we will be referring to a slide presentation, which can be found on our website, www.dycomind.com under the heading Events. Relevant slides will be identified by number throughout our presentation. Going to Slide 2, today we have on the call Tim Estes, our Chief Operating Officer; Drew DeFerrari, our Chief Financial Officer; and Rick Vilsoet, our General Counsel. Now I will turn the call over to Rick Vilsoet.
Rick Vilsoet: Thank you, Steve. Referring to Slide 3, except for historical information, the statements made by company management during this call may be forward-looking and are made pursuant to the Safe Harbor provisions of the Private Securities Litigation Reform Act of 1995. These forward-looking statements, including those related to the company's outlook, are based on management's current expectations, estimates and projections and involve known and unknown risks and uncertainties which may cause the company's actual results in future periods to differ materially from forecasted results. Those risks and uncertainties are more fully described in the company's annual report on Form 10-K for the year ended July 27, 2013 and other periodic filings with the Securities and Exchange Commission. The company assumes no obligation to update forward-looking statements. Steve?
Steven Nielsen: Thanks, Rick. Now moving to Slide 4 and a review of our third quarter results. As you review these results, please note that we have included adjusted EBITDA, certain revenue amounts excluding revenues from subsidiaries acquired during the fourth quarter of fiscal 2013 as well as certain revenue amounts excluding revenues from stimulus-funded projects, all of which are non-GAAP financial measures, to our release and comments. See Slide 14 through 17 for a reconciliation of non-GAAP measures to GAAP measures. Revenue for the quarter declined slightly year-over-year to $426.3 million, a decrease of 2.5%. After excluding revenues from subsidiaries acquired during the fourth quarter of 2013, revenues declined 3.8% organically. Revenues for the quarter were impacted by severe weather across a large portion of the country during the first two-thirds of the quarter, as well as some customers who started the year slowly but reiterated expectations of stable to increased annual budgets, and finally an anticipated reduction in federal stimulus-related revenues. Gross margins declined 41 basis points year-over-year, reflecting major snowfalls and extremely cold temperatures which reduced the number of available workdays and negatively impacted productivity, offset in part by increased activity with a significant customer investing in improvements to its wire line and wireless networks and from another large customer also investing in its network. General and administrative expenses increased 45 basis points year-over-year as a percentage of revenue, reflecting under-absorption of expenses as a result of somewhat lower revenues. All of these factors produced adjusted EBITDA of $39.6 million for the third quarter or 9.3% of revenue. Net income of $0.23 per share for the third quarter compared to net income of $0.21 in the year-ago quarter. Net income was increased from comparatively lower amortization expense and by higher than expected other income in the quarter, reflecting strong prices for assets sold through our routine asset disposal program. Operating cash flow was strong in the quarter at $29.6 million with cash and availability under our current credit facility totaling $228.1 million. Now in a departure from past practice, we will outline our views of the significant industry end market driver impacting our business and our outlook prior to a more granular customer backlog and financial review. Going to Slide 5, since our last earnings call in February, it is now clearly evident that several major industry participants have determined that wire line network bandwidth must increase dramatically in response to consumer demand, competitive realities, and public policy support. Most but not all industry participants now believe that newly deployed networks should be designed to provision bandwidth enabling 1 Gb speeds to individual consumers. As one participant recently stated, I think that everybody now in the industry is talking about the Gig. It’s becoming the standard. This emerging standard has already and will in the future create significant opportunities across a broad array of Dycom’s existing customers. Currently we are providing engineering and design and aerial and underground construction services for 1 Gb trials, as well as full deployments. These services are being provided across the country to a number of customers. While not a significant revenue driver currently, we believe that revenue and opportunities driven by this newly emerging industry standard will accelerate throughout the remainder of this calendar year into 2015. As with prior industry changes of this magnitude, we expect some near-term customer spending modulations as network strategies adapt to this emerging environment but are confident that our scale, market position and capital structure position us well to deliver valuable service to our customers and ample benefits to our shareholders. Moving to Slide 6, during the quarter we experienced the effects of an industry environment which we believe continues to improve. AT&T was our largest customer at 20.8% of total revenue or $88.5 million. AT&T grew 16.6% organically year-over-year. Wire line services grew organically for the fifth consecutive quarter. Revenue from CenturyLink was $54.7 million or 12.8% of revenue. CenturyLink was our second largest customer. Revenue from Comcast was $51.6 million or 12.1% of revenue. Comcast was our third largest customer and grew organically 5.6%. Verizon was Dycom’s fourth largest customer for the quarter at 7.9% of revenue or $33.7 million. Revenue from Windstream was $26.6 million or 6.2% of revenue. Windstream was our fifth largest customer. All together, our revenue declined 3.8% after excluding revenues from subsidiaries acquired during the fourth quarter of 2013. Our top five customers combined produced 59.9% of revenue, declining 3.1% organically while all other customers decreased 4.8%. Of note, organic revenue excluding projects funded in part by the American Recovery and Reinvestment Act of 2009, declined 2.5%. Now going to Slide 7, backlog at the end of the third quarter was $2.046 billion versus $2.147 billion at the end of the second quarter, a decrease of approximately $101 million. Of this backlog, approximately $1.179 billion is expected to be completed in the next 12 months. Both backlog calculations reflect solid performance as we continued to book new work, renew existing work, and anticipate substantial future opportunities. For Comcast, we renewed a three-year construction and maintenance services agreement for Colorado. With AT&T, we renewed for four years a locating services agreement for California. For Charter, we renewed cable installation services agreements nationwide. From TimeWarner Cable, we received extensions to various services agreements in California, Ohio, Maine, New Hampshire and North Carolina. For CenturyLink, we received new three-year contracts and extensions for engineering services in Michigan, Illinois, Indiana, New Jersey, Pennsylvania and Virginia. Finally, we secured rural broadband projects in a number of states, including Montana, Texas, Minnesota, Wisconsin, North Carolina, South Carolina, and Georgia. Headcount was stable during the quarter at 10,324. Now I will turn the call over to Drew for his financial review and outlook.
Drew DeFerrari: Thanks Steve, and good morning everyone. As a reminder, in today’s conference call materials, there is disclosure of certain non-GAAP measures, including items such as organic revenue growth, adjusted EBITDA, and non-GAAP EPS. In the materials, we have provided a reconciliation of these non-GAAP measures to the comparable GAAP measures. Going to Slide 8 for a summary of the quarterly results, contract revenues for Q3 of 2014 were $426.3 million, down slightly from the prior year. Difficult weather during February and March adversely impacted our results, but we saw improvement in the later part of the quarter. Adjusted EBITDA of $39.6 million was down compared to $44 million in Q3 ’13, and earnings per share were $0.23 per share, which was up from the Q3 ’13 net income of $0.21 per share. Turning to Slide 9, total revenue declined to $426.3 million and despite adverse weather conditions, we had solid growth from several key customers. G&A was up year-over-year, including a slight increase in non-cash stock compensation expense. Higher depreciation from recent capital expenditures was more than offset by the $2.1 million decline in amortization. Gross margin and EBITDA were both impacted by the extreme weather conditions experienced during February and March of the current quarter. Turning to Slide 10, our balance sheet is strong and we increased liquidity to $228.1 million during the quarter with cash on hand and availability on our credit agreement. Operating cash flows were solid at approximately $29.6 million. Capital expenditures net of disposals were $16.9 million and gross CAPEX was approximately $21.3 million. On our senior credit facility, we paid down $12.3 million during Q3 and ended the quarter with $16 million of revolver borrowings and $116.4 million of term loan borrowings. Now going to our outlook on Slide 11, as we look ahead to the fourth quarter of fiscal 2014, we anticipate revenues which range from $475 million to $495 million. We expect services for network investments by several large customers, some customer spending modulations as strategies adapt to the emerging environment, and decreases from rural customers on stimulus projects. The gross margin percentage is expected to be up slightly from the Q4 ’13 results. Total G&A expenses, which reflect increased scale, are expected to include stock-based compensation of approximately $3 million. Depreciation and amortization is expected to range from $22.5 million to $23 million, including amortization expense of $4.1 million in Q4. Interest expense is expected at approximately $6.5 million. Other income from asset sales is expected to range from $1.5 million to $1.9 million, and taxes are expected to continue near our 40% effective rate. The applicable factors are expected to generate an adjusted EBITDA margin percentage in line with the prior year percentage and earnings which are currently expected to range from $0.43 to $0.50 per diluted share. We expect approximately 35 million diluted shares during Q4 ’14 with shares gradually increasing in subsequent quarters, reflecting a future vesting of equity awards. Now going to Slide 12, looking ahead to Q1 of fiscal 2015, our expectations currently reflect continued industry trends of network investments, some customer spending modulations, and a headwind from rural customers on stimulus projects resulting in a revenue percentage decline of low single digits from the Q1 ’14 results, gross margins which expand year-over-year from an improving mix of customer growth opportunities, G&A expense percent up slightly year-over-year and includes non-cash compensation of approximately $4 million, and EBITDA margin percentage which expands from the Q1 2014 results. Other factors influencing results include depreciation and amortization which ranges from $22.7 million to $23.1 million, interest expense which remains sequentially in line at approximately $6.5 million, and other income from asset sales which ranges from $1.2 million to $1.6 million. Now I will turn the call back to Steve.
Steven Nielsen: Thanks Drew. Moving to Slide 13, within an improving economy we experienced the effects of a solid industry environment and capitalized on our significant strengths. First and foremost, we maintained solid customer relationships throughout our markets. We continued to win projects and extend contracts at attractive pricing. Secondly, the strength of those relationships and the extensive market presence they have created has allowed us to be at the forefront of evolving industry opportunities. The end market drivers of these opportunities remain firm and are strengthening. Telephone companies are deploying fiber to the home and fiber to the node technologies to enable video offerings and, in some instances, 1 Gb high speed connections. These deployments are accelerating and impacting our business. Some of those telephone companies deploying fiber to the node are expanding fiber to the home trials, while others have initiated larger deployments. Cable operators are continuing to deploy fiber to small and medium businesses and with increasing urgency. Some are doing so in anticipation of the customer sales process. Overall, cable capital expenditures are expanding. Wireless carriers are upgrading to 4G technologies, creating meaningful growth opportunities in the near to intermediate term, as well as planning to increase macro cell density, and industry participants continued to aggressively extend fiber networks for wireless backhaul services. These services are now planned for small cells as well as macro cells. Limited pilot surveys for initial small cell deployments are underway. Dramatically increasing wireless data traffic may prompt further wire line deployments. Among service providers of our size or larger, we believe we are uniquely positioned, managed and capitalized to meaningfully experience an improving industry environment to the benefit of our shareholders. We remain encouraged that our major customers possess significant financial strength and are initiating and remain committed to multi-year capital spending initiatives which in some cases are meaningfully accelerating and expanding in scope. We remain confident in our strategies, the prospects for our company, the capabilities of our dedicated employees and the experience of our management team who have grown our business and capitalization many times before. Now Brad, we will open the call for questions.
Operator: [Operator instructions] Our first question comes from the line of Tahira Afzal with Keybanc. Please go ahead.
Tahira Afzal – Keybanc: Good morning folks, hope all is well. My first question is really—you know, you’re seeing a lot of good trends emerging all in the right direction for yourselves. Perhaps it’s a bit early – it seems qualitatively you are indicating that the secular trend behind the gig of fiber could be fairly notable. Would it be possible for you to try to place in perspective what this could mean in terms of market share for yourselves, and really the whole market size, to the extent you can size it, because when we try to do it, the numbers are fairly large. I just want to get an idea whether you see similar numbers on your side as well.
Steven Nielsen: Yeah, it’s a big development, Tahira. I think it’s early but the trends are firming. Clearly the number of metropolitan areas that have been announced also expanded during our third quarter, and so I—as well as industries, so most recently one of the cable operators, about a month ago or three weeks ago, said that they plan to take 1 Gb speeds to their consumers over the next several years. So I think you have a number of industry participants expanding, the footprint is expanding, and so it certainly could be a large market opportunity. I think in terms of share, I think what we would note for the current quarter is that one of our largest customers announced a total of 25 metropolitan areas where they are looking to deploy 1 Gb services, and of note, eight of those 25 areas are areas where we have master construction agreements and an additional three metro areas are areas where we’re providing or will provide engineering and design services. So we think it’s a good, large opportunity and we’re positioned well.
Tahira Afzal – Keybanc: Got it. My second question sort of has two subsections, and I apologize. First, any comments on the DirectTV and AT&T merger. I think everyone’s talking about it, but I’d like to get your perspective in terms of what it could mean for Dycom. Secondly, as we look at your fiscal fourth quarter guidance, does that include any catch-up work from the third quarter? How should we be looking at really the sequential ramp that you typically see versus perhaps some element of catch-up work? Thank you.
Steven Nielsen: Sure. So more broadly on the AT&T-DirectTV merger announcement, I think in looking at what AT&T disclosed, they clearly talked about a strong commitment to expanding the broadband footprint. Some of that would be fixed wireless but other portions of that would be wire line. I think they reiterated their view about taking fiber all the way to the home or deeper into their network, so I think in general as our customers have merged and become larger, that’s provided substantial support to expanded capital spending and I don’t think this merger would be any different. In terms of the third quarter to fourth quarter ramp, I mean clearly weather has been a big impact across the economy in the first part of the year. As our customers announced their first quarter results, we saw nobody reducing their capital spending plans. We did see some that were somewhat behind on a linear basis for what they had spent in the first quarter compared to what you might expect for a full year, and while that’s hard to tell and forecast precisely month to month, we’re encouraged that they maintained their guidance, and if they are to hit their guidance for the year we should see some expansion through the balance of the year. Of course, the offset to that is we are seeing the roll-off of the stimulus that we talked about, but in the core business clearly for customers to make their numbers, spending will have to pick up.
Tahira Afzal – Keybanc: Got it. Thank you very much.
Operator: We have a question from the line of Simon Leopold with Raymond James. Please go ahead.
Victor Chu – Raymond James: Hi guys, this is Victor Chu in for Simon Leopold. I just wanted to ask you, does the guidance that you provided for fiscal 4Q and 1Q ’15 include assumptions from contributions of the 1 Gb deals yet? Was that still to come, and kind of what is the time frame, I guess, that you expect this to become material? Is it a later in 2015 event that you guys see it impacting on results?
Steven Nielsen: Victor, the guidance that we provided includes what we have in hand and have visibility to. Things are evolving quickly, as you can tell based on the number of customer announcements that we’ve seen over the last couple, three months, so that may change; but at this point, it’s just what we see, and if things develop further, then that would be additive to the guidance that we provided.
Victor Chu – Raymond James: Okay, so it’s just what’s visible for you at the moment, then.
Steven Nielsen: That’s correct.
Victor Chu – Raymond James: Okay. Gross margin, I wanted to ask about – that came in a little bit below guidance this quarter. Were there some specific factors that drove this? I know you mentioned the weather-related impacts, but I think when you gave us the guidance, but I think that was already in—
Steven Nielsen: I know it’s almost Memorial Day and I can assure you we’re all tired of talking about weather, but in this particular quarter it included with our calendar the last week of January, and while we spoke and obviously understood the weather impacts through our last earnings call, poor weather continued into March, later in the month than what we would typically have seen, and I think beyond that there were no particular developments that drove the gross margin one way or another.
Victor Chu – Raymond James: Okay, and just last one – can you give us a breakdown of the segments for teleco, cable and the top five customers?
Steven Nielsen: Go ahead, Drew.
Drew DeFerrari: Sure. Victor, this is Drew. TimeWarner Cable was number six at 5.5% of revenue, Charter was number 7 at 4.9% of revenue, customer number 8 was at 3.3% of revenue – and this was for a customer who requested that we not identify them by name. Customer number 9 was Frontier at 1.5% of revenue, and customer number 10 was Edison International at 1.3% of revenue. Then as far as the breakout, teleco was at 61.6%, cable was at 26.7%, and then from the other customer type, facility locating was at 6.9% and the electrical and other was 4.8%.
Victor Chu – Raymond James: Got it, that’s helpful. One last question. Did you guys say it before – I’m sorry if I missed it – that satellite providers, are they currently customers at the moment?
Steven Nielsen: We have provided services to satellite companies in the past, but have not done so in a number of years, Victor.
Victor Chu – Raymond James: Okay, great. Thank you.
Operator: We have a question from the line of Adam Thalhimer with BB&T Capital Markets. Please go ahead.
Adam Thalhimer – BB&T Capital Markets: Good morning guys. Steve, can you talk a little bit about how this 1 Gb cycle plays out from the standpoint of what we should be looking for? I mean, is this a situation where you start to book some bigger contracts into backlog, or it more of a situation where it’s just quoted under existing MSAs, this work?
Steven Nielsen: Sure, Adam. So I think if you think about kind of the participants in the industry so far and how they’re reacting to it, clearly there are some new participants in the industry that are coming in that will be large projects. We have existing customers, some of whom will separate this work out from the normal flow of business, in which case that would be project-oriented, but others that will flow through and is currently flowing through our existing master contracts, in which case the impact to backlog will be more gradual and over time. Then we have other customers that currently are not performing these services but are considering that, and that may be more project-based. Typically, as I mentioned earlier, one of the cable MSOs talked about expanding their network to provide 1 Gb services, and typically in the cable industry you would see more of this work flow through as individual projects, so it’s going to be a mix, kind of an all-of-the-above impact on backlog.
Adam Thalhimer – BB&T Capital Markets: Okay. Then in terms of the customer modulations, you talked about CAPEX guidance from your customers and they’ll need to accelerate to hit guidance. Is it possible that they don’t hit guidance because of these modulations?
Steven Nielsen: Well I think, Adam, what we’re trying to talk about and what a number of our customers have talked about is people are clearly kind of thinking about how they do fiber to the home within the context of the fiber of the node builds that they’ve had underway for a number of years, so as they work through sort of those architectural decisions, they want to be careful, which makes perfect sense, to not deploy capital in a way that it is not as effective in serving that kind of objective of increasing bandwidths pretty materially. I don’t think it’s a long period of time where they work through that, but there is going to be a period of time where they think about do I incrementally do that next fiber to the node project or do I work it into the fiber to the home plan on a go-forward basis. I think that’s really what we’re talking about. I think the slower start to the year probably is in part due to weather – I mean, it impacts our customers’ abilities to get the work out to us to get done, just as well as it impacts our ability to get it done.
Adam Thalhimer – BB&T Capital Markets: Lastly, just curious – what’s the time frame of this 1 Gb buildout? I mean, if it’s becoming the standard, how long does that take to get there?
Steven Nielsen: I think everybody who has talked about it as recently as the most recent merger announcement has started to talk in terms of three, four years. I always highlight that when Verizon rolled out FiOS, it was going to be a—you know, the original outlook was a five-year plan. It’s been successful and we continue to do it today, so when these things get going it’s hard to anticipate at the beginning how long they’re going to go, but generally the more successful they are, the longer they last.
Adam Thalhimer – BB&T Capital Markets : Okay, thank you.
Operator: We have a question from the line of Alex Rygiel from FBR. Please go ahead.
Alex Rygiel – FBR: Thanks. Good morning, Steve. How many markets are you working for customer number 8 in?
Steven Nielsen: We’re not going to provide any specific guidance around that other than to say that it’s an effort that impacts a number of areas in our business.
Alex Rygiel – FBR: Could you disclose what the wireless revenue was in the quarter and what the stimulus revenue was in the quarter?
Steven Nielsen: Sure. The stimulus is in the Reg G exhibit to the slides, so go ahead, Drew.
Drew DeFerrari: Yeah Alex, that was at $26 million.
Alex Rygiel – FBR: I’m sorry – what’s $26 million?
Drew DeFerrari: The stimulus revenue.
Alex Rygiel – FBR: And wireless?
Steven Nielsen: Just under $50 million.
Alex Rygiel – FBR: Okay. Lastly, you mentioned that some customers started slowly in the year and that wasn’t related to weather.
Steven Nielsen: You know, it may be related to weather, Alex. All I know is we took a look at a number of our customers who reiterated their full-year guidance but didn’t spend 25% of that guidance in the first quarter. So just clearly—and it was a number of customers that had that pattern.
Alex Rygiel – FBR: Helpful, thank you.
Operator: We have a question from the line of John Rogers with DA Davidson. Please go ahead.
John Rogers – DA Davidson: Hi, can you hear me?
Steven Nielsen: Yeah – hey John, good morning.
John Rogers – DA Davidson: Hi, how are you? Good morning. Steve, just going back to market conditions and your comments on the current quarter and what you’re seeing in the first part of ’15, I understand the market opportunity but I’m trying to connect that to the still slow growth that you’re seeing for the first part of 2014. I appreciate the weather, but presumably there would be a ramp-up and we’d start to see some of the planning and work for these larger projects. Do you worry at all that this is going to be something that’s talked about for the next two years before we actually start doing the work?
Steven Nielsen: John, we’re involved in engineering on programs right now, and that’s going to proceed to construction activity. I think of it more as a gathering and as people get their organizations ready to, in some instances, slightly reemphasize fiber to the home versus some other strategies, and it just takes a little bit of time to reorient the process. But there is no question in our minds that our customers as they pursue these plans are going to do it with urgency or they would not be announcing plans. I mean, you know, we had a major customer just a month ago announce an addition of 22 metropolitan areas to their plans for fiber to the home. They’re not doing that because they’re thinking about it as a 2017 or 2018 opportunity.
John Rogers – DA Davidson: Okay. I mean, you’ve been through these build-out cycles before, and do you have to start ramping up ahead of that or do you wait for the customers to say, all right, go ahead and start the work?
Steven Nielsen: So what we’re careful to do, because this is still a business where the values created with the relationships with the customers and with having the right project management people in the right places, so we’re going to be careful to make sure that we maintain project management with all the skills that we need. In terms of adding the actual capacity, luckily in our business we don’t have to do it that way. We’ll build the capacity as the work is in front of us, so we don’t have to get ahead of the actual commencement of the work. Now, once we do, we’ll be building capacity in a hurry if the larger projects occur in the magnitude that we expect.
John Rogers – DA Davidson: Okay. Just on your balance sheet for a second, you paid down some debt in the quarter. Is that still the plan, that you’ll have—push most of the excess cash into that for now?
Steven Nielsen: Well John, I think there’s a couple things, right? So we’re always going to make sure that we’re well capitalized for our organic growth opportunities, which we see as substantial, so as we pay down debt obviously on the revolver, it doesn’t go away – we have that capacity. We continue to look at acquisitions, so we’re going to be opportunistic about looking at acquisitions that can expand our footprint, we think, as we did with the Quanta transaction, that now is a good time to be adding more footprint and more capacity because we see industry opportunities expanding. Then lastly, if the stock price becomes dislocated from where we see the fair value is, we certainly have reserved the right to buy shares in, although we did not during the current quarter; but we certainly have been not bashful about doing that in the past.
John Rogers – DA Davidson: Okay. But in terms of ahead of this significant build-out, are you expecting to acquire an inordinate amount of CAPEX spending?
Steven Nielsen: You know, the CAPEX—what’s good about our business, John, is we don’t require lots of specialty capital equipment with long lead times. There is some, but generally the market is pretty liquid, and so we spend when we need the CAPEX, not when we expect that we’ll need the CAPEX six months from now. So we feel pretty good – I mean, because of our market position, I’d say for the folks that supply the equipment, we’re kind of a top tier customer, maybe top of the list customer, so we get good service and good support from our suppliers. But we do not warehouse capital equipment kind of betting on what’s going to happen next.
John Rogers – DA Davidson: Okay, great. Thanks very much. Appreciate the help.
Operator: Once again, if there are any questions at this time, please press star followed by the one on your touchtone phone. Our next question comes from the line of Steven Folse with Stifel. Please go ahead.
Steven Folse – Stifel Nicolaus: Good morning. First question – I know that you’ve had a full lap now on the Quanta acquisition, but can you talk a little bit about the performance in that division in the quarter? I know that they have a little bit of disproportionate exposure to midwest. Was that kind of an area that was impacted by weather, or just how it’s performance there?
Steven Nielsen: Sure. So we’ve owned the business for the entirety of both periods, so it’s our business – we don’t think about it as separately. But clearly that business that was acquired had a larger percentage of its revenue from stimulus and is what was more seasonally impacted for the reasons that you outlined. So as we had talked about when we acquired that business, we kind of looked at that as kind of a $400 million to $450 million in revenue business. We outperformed that expectation in the first year, which we provided you the numbers, but our expectation of the run rate is more where we see that business today, with the caveat that they also, as part of the combined company, have some pretty substantial opportunities that our owning that business makes us a better supplier to our customers, so we’ll see—you know, we’re very confident that that part of the business has some growth opportunities to offset that stimulus roll-off.
Steven Folse – Stifel Nicolaus: Great, thanks. Then you touched a little bit on the call about some of the opportunities developing in the DAS and the small cell markets. Can you talk a little bit more in depth about what markets you’re seeing there? I know you’ve talked about South Florida before, but are you seeing that ramp up a little bit in other areas?
Steven Nielsen: Yeah, we continue to see opportunities around small cell or outside DAS, and it comes from some of the tower owners, it comes from some of the carriers, and I just think it’s part and parcel of this whole cell densification effort that all of the carriers are doing to improve the performance of their LTE networks. I think it’s something that is actually probably more of a ’15 and ’16 development than it is ’14, because the technology, they’re still working through some things; but clearly everybody is looking at fiber transport or transport in general on the wire line network is increasingly important to the performance of LTE networks. So even as the carriers migrate to voice over LTE, that will increase traffic and will also require some cell site densification. So I think just in general, an extension of this trend that’s been ongoing now for over five years pushing the wire line network closer and closer to a wireless user, which has been good for the business.
Steven Folse – Stifel Nicolaus: Thanks. That’s all I had.
Operator: We have a question from the line of Alex Rygiel with FBR. Please go ahead.
Alex Rygiel – FBR: Steve, is there any way to quantify the lost man hours from weather?
Steven Nielsen: It’s so difficult because the issue is not only our own folks but the impact on subcontractors, which don’t have a drag on cost of goods but can sometimes mean we have to spend some overtime, right? So it’s not just what you lose, it’s what you pick up or have to pick up when the work comes back. Despite all of the challenges on the weather side, I think it’s interesting on our wire line business with AT&T, we looked back over the last five quarters and kind of on a quarterly basis, it was up almost 75% this quarter versus the January ’13 quarter. So there is work out there, it impacted the business, but we still see plenty of opportunity.
Alex Rygiel – FBR: How many customers and/or how many geographic markets are you actually working on 1Gb?
Steven Nielsen: It’s multiple markets and it’s accelerating. That’s all we’re going to say. You know, we appreciate that investors and owners would like to know more about the program, but when we’re in the early stages of these programs, we need to be sensitive to the needs of our customers. I mean, without them there is no us, and so we are going to be careful not to over-disclose, and it’s in a competitive environment. We’re working in lots of places for new opportunities and we’re going to be careful before those opportunities are awarded to get ahead of things.
Alex Rygiel – FBR: Thank you.
Operator: We have a question from the line of Alan Mitrani with Sylvan Lake Asset Management. Please go ahead.
Alan Mitrani – Sylvan Lake Asset Management: Thank you. Steve, it seems like if we try to parse out ex-Quanta – I know it’s organic growth for you this quarter because you owned it. But if we try to parse it out ex-acquired revenues, it looks like your base business previous to Sage and Quanta looks like it grew actually this quarter 2%-plus. Is that correct? Am I doing the math right?
Steven Nielsen: Yeah, I think generally that’s in line, Alan, and to keep in mind, that’s in a terrible weather quarter versus a year ago where there was—hypothetically there was winter, but not much.
Alan Mitrani – Sylvan Lake Asset Management: Right. And to what—do you attribute that growth to the large customers that you referenced earlier? Is it new business that you’ve won, or is it existing business pushed through their MSAs, to the earlier question?
Steven Nielsen: It’s a combination, Alan, but if you look at the numbers, primarily our services with AT&T, although we work for them throughout the country, are more in the southeast, so obviously AT&T as a customer was probably less impacted seasonally than some others where we work more out west or up north. I think that’s part of the issue.
Alan Mitrani – Sylvan Lake Asset Management: Okay, and then it seems like your margin guides for the next couple quarters are up, and fairly dramatically starting in the first quarter hopefully – I know it’s months out. But is that a mix issue also with Quanta or is it as you roll off other businesses or rebidding, do you think that’s somewhat sustainable over the next year, year and a half?
Steven Nielsen: The way kind of let’s think about it in the intermediate term is to the extent that the industry (indiscernible), but the industry needs to create capacity to meet the needs of customers in total, there will be a recognition of that in terms of what the returns on capital will have to be. So I think generally in periods of time where capacity has to grow, we have to perform a little better in order to be able to grow the assets that our customers need us to have to get all their work done. I think that’s the dynamic that’s played out before.
Alan Mitrani – Sylvan Lake Asset Management: Okay. And then I was surprised a bit by the growth of this unidentified customer. Coming from zero a few quarters ago up to a few percent of your revenues, is this something we expect to see—you know, is this customer going to be around for the next couple years?
Steven Nielsen: You know, Alan, we’re not going to get into details on the customer other than to say that it’s been a—as you identified, it’s been a strong ramp. We have worked hard for them, our folks have done a very good job, and if we continue to do a good job, hopefully we’ll be able to continue to grow.
Alan Mitrani – Sylvan Lake Asset Management: Okay, and then lastly on SG&A, that’s the one area where I was sort of surprised that it’s going to expand where it was in first quarter, where you’re expecting it in the next couple quarters given that the previous quarters had some charges in it for integration of Quanta. Can you just talk about that? Is that related to the ramp-up of some of these new businesses or training? Just what specifically is driving the SG&A increase?
Steven Nielsen: There is some footprint, Alan, and the other thing is we’re not calling out integration expenses because at some point, you’ve got to be done. Some of the more legal—you know, some of the legal entity conversions and some other things are going to generate some legal expense, but at this point we consider that as kind of part of the ongoing needs of the business. To highlight an answer earlier, you must be careful when you see demand increasing to make sure you’ve got the right people in place to manage that growth, and so we’re not going to sit there and try to manage G&A down 10 basis points if that impacts our ability to have growth under control in the future.
Alan Mitrani – Sylvan Lake Asset Management: Thank you.
Operator: We have a question from the line of Adam Thalhimer with BB&T Capital Markets. Please go ahead.
Adam Thalhimer – BB&T Capital Markets: Actually, my question was just asked. I’m good, thanks.
Operator: If there are any additional questions at this time, please press star followed by the one on your touchtone phone. We do have a follow-up question from the line of Alan Mitrani with Sylvan Lake Asset Management. Please go ahead.
Alan Mitrani – Sylvan Lake Asset Management: Sorry, this is just a clean-up question. Drew, I may have missed it – what was amortization this quarter? Just wanted to be able to get to the cash earnings per share.
Drew DeFerrari: Sure, Alan. Amortization this quarter was $4.1 million.
Alan Mitrani – Sylvan Lake Asset Management: $4.1 million – great, thank you.
Steven Nielsen: All right, Brad, if there are no further questions, we appreciate everybody’s time and attention, and we look forward to speaking to you on our fourth quarter call at the end of August. Thank you.
Operator: Ladies and gentlemen, that does conclude your conference for today. Thank you for your participation and for using the AT&T Executive Teleconference Service. You may now disconnect.